Operator: I would like to welcome everyone to the Universal Display third quarter 2009 financial results conference call. (Operator Instructions) At this time, I would like to turn the event over to Mr. Johnson. You may begin the conference call.
Paul Johnson: Thank you, and good afternoon everybody. Thank you for joining us today. With us are Steve Abramson, President and Chief Executive Officer, and Sid Rosenblatt, Chief Financial Officer of Universal Display Corporation. Let me start as always today by reminding you that this call is the property of Universal Display. Any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of Universal Display is strictly prohibited. Further, as this call is being webcast live and will be made available for a period of time on Universal Display's website, this call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, November 9, 2009. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include, but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC. Universal Display disclaims any obligation to update any of these statements. With that out of the way, I'd like to turn the call over to Steve Abramson, CEO of Universal Display.
Steve Abramson: Welcome to the third quarter conference call, everyone. Sid Rosenblatt is here as well, and we will review the financial results in more detail following my comments. As always we are happy to take your questions, following Sid's presentation. The third quarter was positive for Universal Display in a number of ways, continuing trends that began in the second quarter, the increase in our overall revenue and the improvement in net loss are obviously good signs. The increase in royalty and licensing revenues is also a promising sign for the future. From all accounts, the event we faced earlier in the year due to the economic climate have begun to subside. Our partners, such as Samsung SMD continue to demonstrate their commitment to increasing production volumes and generating additional sales of OLED displays. It looks like the OLED display market is now positioned to grow through the recovery. The reasons are simple, OLEDs offer a point of differentiation for a variety of products. From today's mobile devices, to tomorrow's larger area computer screens and TVs, OLEDs are making strong inroads. They are visually compelling. Gorgeous seems to be the common descriptor. The energy efficiency of our OLED technology and materials provide a powerful economic incentive for display and product manufactures to switch from LCDs to OLEDs. The growth of global device usage, the driver synergies plays and the sea changing attitude by energy efficiency all present a compelling market for both OLED displays and Universal Display's technology and materials. The numbers support this trends. DisplaySearch, Quarterly OLED Shipment and Forecast Report recorded, "Worldwide OLED revenue has set a new record, with $192 million in representative for the second quarter of 2009 , up 32% for the quarter and 22% for the year. " The report goes on to forecast, "Total OLED display market will grow to $6.2 billion by 2016 from $600 million in 2008, with accumulative annual growth rate of 33%. Mobile phone main displays, with revenues of about $3 billion in 2016. OLED TVs will be the second largest application, with revenues of about $2 billion in 2016." In its report, DisplaySearch also discussed OLED growth during the most recent quarter noting, "AMOLED shipments grew due to strong mobile phone main display shipments. This is due to promotion of AMOLED mobile phones by Samsung Electronics, Nokia and Sony Ericsson in the first half of 2009. More than 15 mobile phone models, with AMOLED main displays were released in 2009." Recent reports also confirm Samsung SMD's conviction that OLED displays represent a strong growth product for the firm. The Korea Times recently quoted a Samsung representative as saying, " Its Haptic-branded AMOLED phone is a product presenting a new paradigm in the global mobile industry. Samsung will lead the new segment." The report notes that SMD plans to build an additional AMOLED line in Korea after its shipment mark exceeds 2 billion. An analyst reviewing some of Samsung businesses, like screens made with active matrix organic light emitting diode technology is likely to remain profitable over time. We recently attended and exhibited a Nikkei Business Publications FPD International 2009 Conference in Japan. Samsung SMD's booth at the conference included a tremendous OLED exhibit. The breadth of OLED show was quite remarkable and some product concepts were further developed, including a 20-inch, 3D OLED display for viewing with glasses. Also at FPD, LG Display communicated it's OLED roadmap. The company has strong ambitions in the large area OLED display market, namely TVs. During the conference LG Display's OLED Sales and Marketing VP, Won Kim said that the company is looking to introduce a 15-inch OLED TV this year, followed by a 20-inch OLED TV in 2010, and OLED TVs at 30-inches and larger in 2011. Mr. Kim also stated that a 40-inch OLED TV is on its way for 2012. Perhaps more significantly, Mr. Kim stated LG Display is forecasting OLED TVs and displays will cost less than LCD screens by 2016, thanks to new manufacturing processes. Also during the FPD International Conference our partner AU Optronics exhibited a 14-inch OLED TV that runs at full high-definition resolution and has a pixel density of 157 PPI. Each display boosts a contrast ratio of 100,000 to one and a brightness of 200 candelas per meter square. Our booth at the conference was located in a prominent location along the main street of the exhibition hall. We were situated between Sharp and NEC, and across from LG Display. Traffic at our booth remained heavy throughout the conference. Our public message was that our PHOLED technology materials are used by the three leading OLED display companies, Samsung SMD, LG Display and AU Optronics. We exhibited sample products from each of these companies on our front counter. Turning to R&D in commercial technology development, the third quarter saw a number of new contracts with the US Departments of Energy and Defense. These included a new Phase II contract with the US Air Force for the development of flexible OLED displays for in-cockpit use, and $1.65 million two year contract from the US Department of Energy to demonstrate a thin, highly efficient white OLED lighting concept for under-cabinet applications. More recently in the first quarter, two new Phase I programs for the DEO to demonstrate further advances in the performance of white OLEDs and to continue working towards achieving the DoE solid state lighting commercial targets and an extension to a US army CERDEC Phase III contract to continue working on flexible OLED display technology, and to deliver prototype flexible displays built on metal foil. These contracts, and the research and development associated with them represent the next revenue streams for Universal Display in flexible displays and white OLED lighting. We are especially excited about the rate of progress that has been made through these programs, and we anticipate that they could become significant markets for us in the future. On another topic, I am pleased to report that the European Patent Office recently rejected an opposition to one of our core flexible OLED patents in Europe. The opposition was filed by Cambridge Display Technology back in 2006. The EPO, the European Patent Office announced a decision, an oral hearing on October 6, upholding the patent as originally granted. The minutes of the hearing are available online through the EPO website, and a formal written decision should be issued soon. Review this result as further confirmation of the strength of our broad OLED patent portfolio. Finally, I'd like to note that during the quarter, our PHOLED material business received certification in accordance with the ISO 9001, 2008 quality management system standards and guidelines. This is a significant achievement and testament to the quality of our materials business, demonstrating how we consistently meet and exceed the expectations of our customers in the OLED display and lighting industries. With that, I will turn the call over to Sid for a review of the financial results. Sid?
Sid Rosenblatt: Thank you Steve, and again, thank you everyone for joining us on the call today. I will begin today with a detailed look at revenues for the third quarter 2009, and then a review of our key financial results, net loss, operating expenses and cash used in operating activities. We'll then turn the call over to the operator for your questions. For the third quarter of 2009, revenues totaled $5,145,000, compared to $2,626,000 for the same period in 2008. Commercial revenue, which relates to the incorporation of the OLED technologies and materials into our customer's commercial products, and includes commercial chemical revenue. Royalty and license revenue and commercialization assistance revenue increased to $1,621,000 in the third quarter of 2009, compared to $1,325,000 for the same period in 2008. Development, which relates to OLED technology, and material development, and evaluation activities, for which we are paid, and includes contract research revenue, development of chemical revenue and technology development revenue, increased to $3,524,000 for the third quarter of 2009 from $1,301,000 for the same period in 2008. Looking at a more detailed breakdown of the categories under revenue; our commercial chemical revenue and royalty licensing revenue for the third quarter of 2009 were $808,000 and $646,000 respectively, compared to $1,025,000 and $300,000 respectively for the third quarter of 2008. In the third quarter of 2009 the majority of our commercial chemical revenue were from sales of our proprietary OLED materials to Samsung SMD. We also sold small quantities of our proprietary OLED materials to two other customers for commercial usage during the third quarter. The sales to these customers were recorded as commercial chemical revenue and license revenue. The decrease in commercial chemical revenue from the third quarter of 2008 to the third quarter of 2009 resulted primarily from lower volume of OLED material sales to Samsung. As we discussed in our last conference call, our understanding is that this lower sales volume was due to Samsung's implementation of manufacturing process efficiencies, improved material utilizations, and more efficient and improved device structures, offset in part by increased production volume. We cannot accurately predict how long our material sales to Samsung or other customers will continue, as they frequently update and alter their product offerings in response to market events. We recorded royalty revenue of $402,000 for the third quarter, ended September 30, 2009, compared to $148,000 for the same period in 2008. This revenue primarily represents royalties received under our patent license agreement with Samsung. Under this agreement, we receive royalty reports at a specified period of time after the end of the quarter, during which, royalty-bearing products are sold by Samsung. Royalty revenue in these sales is recognized when the report is received. Consequently, our royalty revenues from Samsung for the three months, ended December 30, 2009, and 2008, represent royalties for licensed products sold by Samsung during the second quarter of 2009 and 2008 respectively. License revenue for the third quarter or 2009 was $245,000 compared to $152,000 for the same quarter of 2008. These revenues were derived from our patent license agreement with Samsung, as well as a cross-license agreement with DuPont Displays, Inc. that we entered in December 2002. License revenue for the quarter, ended September 30, 2009, also included amounts received under a patent license agreement we entered into with Konica Minolta in August 2008, and a joint development agreement we previously entered into with a subsidiary of Konica Minolta. During the third quarters of 2009 and 2008, we also recorded license revenue from two other customers who purchased our proprietary materials for commercial usage. Commercial revenue for the quarter ended September 30, 2009, also included $167,000 in commercialization assistance revenue that we received under a business support agreement executed during the fourth quarter of 2008. We received no such revenue for the same period in 2008. We earned $1,125,000 in contract research revenue from agencies of the US government for the third quarter of 2009, compared to $610,000 in the third quarter of 2008. The increase was due to overall increased value of our government contracts increasing by approximately 50%, as well as the timing of the expenses incurred under these contracts. We earned $718,000 in development chemical revenue for the third quarter of 2009 compared to $628,000 in the same quarter of 2008. The increase was due primarily to increased development chemical sales to three customers, offset to some extent by decreased commercial chemical revenue to two other customers. Technology development revenue for the third quarter of 2009 was $1,681,000, compared to $62,000 in the third quarter of 2008. This includes non-refundable payment of $1,500,000 that we received from Kyocera Corporation during the third quarter of 2008. This payment was for technical assistance previously provided under an evaluation agreement with a subsidiary of Kyocera. We have previously classified this payment as deferred revenue, because it was creditable against a portion of the upfront fee under our license agreement with the company. The license agreement was to become effective upon notice from Kyocera, given on, or before December 31, 2009. In September 2009, we received notification from Kyocera that it was terminating the evaluation agreement. Based on this notification, we determined and confirmed Kyocera would not send us a notice declaring a license agreement effective on, or before December 31, 2009. As a result of this development, we recorded the $1,500,000 payment as technology development revenue for the third quarter of 2009. Technology development revenue for the third quarter of 2009 also included amounts received under two joint development agreements that we entered into during the second half of 2008. Payments received under these agreements were classified as deferred revenues and recognized as revenue over the life of the applicable agreement. Total operating expenses were $8.9 million for the quarter ended September 30 2009, compared to $8.5 million for the same period in 2008. The operating expenses remained relatively consistent over the corresponding period. Our net loss for the third quarter of 2009 was $4,629,000 or $0.13 per share, compared to $5,303,000 of $0.15 per share for the same quarter of 2008. The decrease in net loss was primarily due to an increase in revenues of $2,520,000, partially offset by a decrease in interest income of $420,000, and increase in operating expenses of $480,000, and a loss on stock warrant liability of $1,002,000. Looking at the nine month results, revenue totaled $10.9 million for the nine months ended September 30, 2009, compared to $7.5 million for the same period of 2008. Commercial revenue remained relatively consistent at $4.2 million, compared to $4.3 million for the same period in 2008. For the first nine months of 2009, development revenue increased to $6.7 million, compared to $3.2 million for the same period in 2008. Total operating expenses were $27 million for the nine months ended September 30, 2009, compared to $24.4 million for the same period in 2008. Net loss for the first nine months of 2009 was $16.6 million, or $0.46 per share, compared to a net loss of $14.7 million, or $0.41 per share for the same period in 2008. Our balance sheet remains strong as of September 30, 2009, with cash, cash equivalents and short-term investments totaling $66 million, compared to $77.5 million as of December 31, 2008. Cash used in operating activities was $11,832,000 for the nine months ended September 30, 2009, compared to $635,000 for the same period in 2008. The increase in cash used in operating activities was mainly due to the receipt of an additional $2,033,000 in cash payments in 2008, rather than 2009, from various customers for license rights granted to these customers, and/or the joint development work performed or technical assistance provided at the request of these customers. An additional net loss of $2,453,000 and the timing of accounts payable and accrued expenses, net of non-cash charges of $953,000. With that, I'd like to turn the call over to the operator to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of [Chris Edwards].
Chris Edwards: I had a question regarding your royalty rate structure. Does your royalty rate percentage depend on the number of different phosphorescent materials used in display. Actually notes from a couple of your old presentation that I would just like to confirm?
Sid Rosenblatt: Our royalty rates are based upon the ASP of the average sale price of the products that they sell.
Chris Edwards: Of course, I am just trying to understand if a manufacturer adopts red and green, does that change your royalty rate basically?
Sid Rosenblatt: Well, we have actually different structures for different companies, and the current arrangements that we have with customers today, our royalty rate is a royalty for the right to incorporate phosphorescent materials into a display and they are not based upon number of colors that are used. Each customer is different.
Operator: Your next question comes from the line of Jim Ricchiuti Needham & Company.
Jim Richhiuti - Needham & Company: Sid, I am wondering if you can comment on, you had now a few quarters of reports from Samsung. Are there any observations that you can draw from this relative to predictability, or growth, or seasonality, what cam you tell us?
Sid Rosenblatt: I think we are starting to see a little clearer picture, but to be perfectly honest, I think the second quarter, and we have not seen what the third quarter looks like as of yet. Once we see this year, because this year they seem to be focusing on manufacturing and delivering of displays as in the past, it really jumped all over the place. So I think maybe after another quarter or two, we will have a good feel on the real progression. Right now, I do not have enough information that I can predict, but it is getting there.
Jim Richhiuti - Needham & Company: Can you remind us, Sid, or Steve, just about the current licensing agreement with Samsung. When does it expire, and maybe you could also talk about what you are seeing out there in terms of new licensees coming on?
Sid Rosenblatt: Well, the current agreement with Samsung expires at the end of June, 2010. We are obviously, based upon Steve's comments, you have got LG that is expanding it's OLED operations and talks about having new fab come online in the first part of next year. You have seen AUO, FPD demonstrating a number of different OLED products. We think that 2010, 2011 should show significant growth in the overall number of OLED products that are being shipped into the marketplace. We do see a lot of activity.
Jim Richhiuti - Needham & Company: Just getting back to Samsung, would you expect to be in active talks with them in the early part of next year, or do you see this agreement actually being hashed out maybe closer to the June timeframe?
Sid Rosenblatt: We are in contact with all of our customers all the time, and the process is one that you are very aware of in negotiating, and we are going to do our best to get everything done in a timely manner, but negotiations are negotiations, and we will see how they go.
Jim Richhiuti - Needham & Company: Anything you can say about maybe an update on where you stand with green phosphorescent material, what the status might be of that looking out to next year?
Steve Abramson: We are still in manufacturing test and qualification with a number of different customers to get green phosphorescent into products, Jim.
Operator: Your next question comes from the line of Yair Reiner from Oppenheimer.
Yair Reiner - Oppenheimer: Your commercial chemical sales were up pretty significantly quarter-on-quarter. Can we see that as a decent proxy for the type of momentum we should see in royalties next quarter? In other words, shouldn't the commercial chemicals that you sold this quarter translate into royalties and licenses next quarter?
Sid Rosenblatt: I mean, logically it makes sense that if you sell more material you should have more products. I think it makes some sense, it would depend whether they are building inventory or royalties based upon what they ship, as opposed to what they actually make. So it makes sense that if you sell more materials you should see a larger royalty, but I can't say for sure, because I have not seen a royalty report yet.
Yair Reiner - Oppenheimer: Do you have any sense of how Samsung's inventories may have changed from Q2 to Q3, if at all?
Sid Rosenblatt: That we really have no visibility into, to be perfectly honest.
Yair Reiner - Oppenheimer: Any progress report on blue?
Steve Abramson: We have nothing yet to announce. I will tell you that the team is working extremely hard on blue. They're making some very nice progress. We have some announcements to make, we certainly will.
Yair Reiner - Oppenheimer: One final question from me. It looks like LG Display and AUO are becoming recommitted to a certain degree to OLED now. Do you think they're going to initially follow Samsung's past and focus on handheld devices, or do you think they are going to, from the first, focus more on medium and large area displays?
Steve Abramson: Well, LG has talked about having a 15-inch TV this year. So, these from their public announcements, it looks like they are moving toward the TV market. It is not yet clear from their public announcements what direction AU Optronics is moving.
Yair Reiner - Oppenheimer: Then just to be clear, LG will be using your materials for the red?
Sid Rosenblatt: Yes. As Steve said, there are a number of customers that are qualifying our green material.
Operator: Your next question comes from the line of Andrew Abrams from Avian Securities.
Andrew Abrams - Avian Securities: I was wondering if you could just kind of work through a little bit of this whole Samsung process improvement. I know that you guys are not there watching it, so it's hard to get real perspective, but does this look like this will be a trend going forward, or is there a finite point that they reach where you start to get very, very small improvement in the chemical usage? Is this something that you guys can shed a little light on?
Sid Rosenblatt: In the past the Samsung line was used for a number of different purposes, and as they were scaling up the manufacturing process, the line would be turned on and off and they would do development work in the same line and they do a number of different things, and when you start and stop the line, because these materials are loaded into sources, you end up wasting a lot of material in the starting and stopping process. During this year, they have focused on keeping the line running as much as possible, making product, and also looking at efficiencies in their source design and utilization to use as little material and as little of anything as possible in a device to try to maximize the profit. Once you get to a certain point there is very little room for improvement, unless you somehow redesign. We believe that right now, the manufacturing is running most of the time, and we think we are at a stable rate of material utilization in that line today.
Andrew Abrams - Avian Securities: As that line increases, their utilization rate should move along or your chemical sales should move along roughly with that production line?
Sid Rosenblatt: That's what we believe, Andy.
Operator: (Operator Instructions) Your next question comes from Jim Ricchiuti from Needham and Company.
James Ricchiuti - Needham and Company: I was just wondering, just given the bullish forecast out there in the market for OLEDs, if you can comment on the direction Kyocera has taken here, pulling back from the market, and admittedly they have been pretty quiet, but I was just wondering if you can provide a little perspective on that?
Sid Rosenblatt: They have been very quiet and we have not seen much activity. It appears today that if you look at Korea and Taiwan, that is the areas that is becoming, particularly Korea, a area that OLED technology seems to really be getting traction. In Japan, I think the economic downturn that occurred impacted a lot of what they are doing, and it has really hurt a lot of the companies there. To some extent Korea was insulated from it. In that the conversion rate of the won, still made their products fairly cheap, so they have been doing pretty well through this mess. They've have had some issues, obviously, but it appears to us that the large guys, LG, Samsung, AUO, are now really starting to focus on new technologies and trying to be the leaders in it. So we are hearing clearly positive and bullish reports the same that you are reading for OLEDs by those guys, specifically, and there are a few others.
Jim Ricchiuti - Needham & Company: Sid, just a quick question on the operating expense; I was a little surprised to see the R&D come down in Q3 and your G&A also came down a little bit. I'm just wondering how we should think about those two line items going forward?
Sid Rosenblatt: There were some non-cash things in there that go up and down as some things that actually are based upon stock price for accruals and things like that. I expect it to be relatively constant at this point. In 2008, we really hired a number of folks and staffed it up. So at this point going forward I think if you look at those numbers, and assume that they are going to be fairly steady.
Jim Ricchiuti - Needham & Company: Then the final question from me. Just looking at Q4, can you give us a sense at what your contract research revenue might look like from the US government? Maybe you can comment if you are seeing more activity coming from the US government relative to lighting, or display, just to give us some feel as to how that is playing out?
Sid Rosenblatt: I would expect this, as we said in the past, we do have a number of additional contracts compared to last year. The number specifically, I don't believe it will grow, but it will be in this ballpark. There have been a number of programs that have been either extended or we have been granted some additional dollars for them. There were a number of programs that we have bid on that we'll probably find out, specifically in the lighting area over the next probably three to six months, it's a pretty long process that it goes through. The area of OLED for lighting is really a hot bed at the DoE, for solid state lighting and moving ahead with this technology and trying to focus on different proposals in specific areas to continue the development. So, we see that as an area that over the next few years is going to get more and more traction.
Jim Ricchiuti - Needham & Company: Is there anything you said you pursued in terms of stimulus funding related to the OLED lighting applications?
Sid Rosenblatt: It is interesting. The stimulus funding dollars, some of it is flowing into the DoE, and there have been a number of requests for proposals. Some of the other stimulus dollars were as they called shoved already. Folks had stuff ready to go, everything ready to go. Building plans or whatever it is. Construction plans and permits and everything. All they needed was money. So those are the projects, because they were really looking to create jobs quickly, are the ones that got a lot of the stimulus money. There is stimulus money that is flowing into the DoE and we have responded with proposals to them, but it appears that the actual letting of those or granting of those is a lot slower process than some of the other things.
Jim Ricchiuti - Needham & Company: So if some of those come into fruition, it's really looking more like next year?
Sid Rosenblatt: Yes.
Operator: Your next question comes from the line [Jonathan Skills from Davenport].
Jonathan Skills - Davenport: Can you talk about what the latest monthly shipment rate is from Samsung or what you've heard from press accounts?
Sid Rosenblatt: The published reports that we have seen are approximately two million displays a month. We read those the same way we get them from DisplaySearch and other places. They are the latest numbers than we have heard.
Jonathan Skills - Davenport: With respect to LG, they are currently a development customer, and do you still expect them to convert to being a commercial customer some time next year?
Sid Rosenblatt: Yes. We expect them to use our technology and to use our materials in their commercial products.
Jonathan Skills - Davenport: Your current agreement with them is up at the end of this year, right?
Sid Rosenblatt: Yes. It was extended, and as with all customers, we continually work with them and fully expect to continue to work with them.
Jonathan Skills - Davenport: Then can you talk a little bit maybe about what you've heard as far as the ASP for AMOLED display at Samsung SMD relative to an LCD display?
Sid Rosenblatt: It's difficult to get specifics, because it's based obviously upon size. I can tell you that the latest DisplaySearch estimates I think for the first six months of this year was, AMOLED displays averaged approximately $17, and I believe that the LCD displays were anywhere, depending on the quality of the display, that I can recall, was in $12 to $13 range for comparable displays, but this is all out of DisplaySearch.
Jonathan Skills - Davenport: As far as cash burn, can you talk about maybe how we should think about that number in 2010 relative to 2009?
Sid Rosenblatt: Obviously, we would like to enter into a number of additional agreements where we get upfront fees and we continue to sell the materials, so as our topline grows, our cash utilization will go down. When you look at 2008 versus 2009, we did receive a number of upfront fees, such as the Kyocera one and some others. It is difficult to predict, but I don't think cash is an issue for us. We've got $66 million worth of cash in the bank. I would expect as the revenues grow, our cash needed in the quarter, even actually if you look at this third quarter and fourth quarter, should continue to go down versus where it was, but it is all obviously dependant upon revenue.
Jonathan Skills - Davenport: If LG were to convert to a commercial customer in 2010, would there be some upfront fee associated with that?
Sid Rosenblatt: Our standard license agreements are upfront fees and running royalties, so if that happens, we would think we would have it.
Operator: There are no further questions at this time.
Steve Abramson: Again, we'd like to thank you all very much for participating. As a lot of you do, we are available, please feel free to give me or Steve a call and with that, again, thank you for participating and you all have a good night.
Operator: This concludes today's conference call. You may now disconnect.